Operator: Good day, and welcome to Essex Property Trust Second Quarter 2016 Earnings Call. As a reminder, today's conference call is being recorded. Statements made on this conference call regarding expected operating results and other future events are forward-looking statements that involve risk and uncertainties. Forward-looking statements are made based on current expectations, assumptions, and beliefs, as well as other information available to the Company at this time. A number of factors could cause actual results to differ materially from those anticipated. Further information about these risks can be found in the Company's filings with the SEC. When we get to the question-and-answer portion, Management asks that you be respectful of everyone's time and limit yourself to one question and one follow-up. It is now my pleasure to introduce your host Mr. Michael Schall, President and Chief Executive Officer for Essex Property Trust. Thank you, Mr. Schall, you may begin.
Michael Schall: Thank you, operator. And thank you for joining us today, and welcome to our second-quarter earnings conference call. John Burkart and Angela Kleiman will follow me with comments, and John Eudy is here for Q&A. I'll cover the following topics on the call: First, our commentary on quarterly results and market conditions; second, an investment market update; and finally, the latest on rent control proposals in California. So, on to the first topic. The second quarter was challenging operationally, as job growth was weaker than expected in several key markets, often coinciding with peaking apartment supply deliveries. With that said, we're pleased that we exceeded our core FFO per share guidance for the quarter, and are increasing our 2016 core FFO guidance by $0.06 at the mid-point. We are also tightening the revenue guidance range, leaving the mid-point of our revenue guidance slightly lower, largely attributable to reduced rent growth expectations in northern California. Once again, I thank the Essex team for their focus and effort in driving bottom-line growth in a demanding and changing environment. Generally speaking, the West Coast economy continues to outpace the slow growth national economy, which we now estimate will produce 2016 job growth of 1.8%, down from our prior estimate of 2%. Throughout our California markets, we have pockets of strength and weakness, coinciding with the quantity of new apartment deliveries, and the level of concessions being offered by landlords. In response to these conditions, we have lowered our 2016 market rent forecast by 50 basis points to 5.5% on Page S-16 of our supplemental package. Generally, B-quality apartments and locations continue to perform better than As, as lower price points become more important to renters as affordability pressures increase. In my 30 years at Essex, I have not seen the divergence and performance between Seattle and northern California that we're currently experiencing, and our Seattle results have been a huge positive surprise. The economies of Seattle and northern California have a large tech component, and thus usually follow a similar path in terms of rent growth. Seattle generates more housing supply measured as a percentage of stock, which has historically moderated its long-term rent growth, again relative to northern California. The cause of this divergence is largely on the demand side, driven by job growth. To demonstrate this, I'm going to refer to non-seasonally adjusted job growth from January to June, primarily because the year-over-year job numbers are significantly influenced by the strong second half of 2015. Seattle had the strongest job growth for the first half of 2016 compared to each of the past six years, and the margin of out-performance is notable. In 2015, which you likely will recall was a very good year, Seattle increased total jobs for the first half of the year by 30,000. The comparable job growth for 2016 was 43,400 or 44% more jobs added relative to 2015. To contrast this with Northern California, in January through June 2016, we added 27,000 jobs down from 44,100 in the comparable period of 2015. Based on this activity, we are changing our 2016 forecast on Page S-16 of the supplement as follows. In Seattle, job growth increases 15% to 55,800 jobs, and our 2016 market rent forecast increases to 8.5% from 6.1%. In northern California, job growth is reduced from 93,100 to 74,200, and our 2016 market rent forecast goes from 6.5% to 3.8%. We still believe that our apartments located in the centers of technology and innovation will deliver above average rent growth. This belief is supported by the integration of technology into virtually every part of our lives, resulting in high growth expectation, higher income levels, and better wage growth. Southern California remains on track to achieve our targets for 2016. There are, however, pockets of supply that impact price in certain sub-markets. Overall, we had solid results through the south land, especially in L.A. and San Diego. As a result, we're leaving our 2016 rent growth expectations unchanged. As noted on our last call, apartment supply deliveries are inherently lumpy, which affects market rents based on the concession level and other pricing considerations. Last quarter we estimated that approximately 70% of the 2016 supply will occur in the second and third quarter in San Francisco, San Jose, and Los Angeles. In San Francisco and San Jose, we expect apartment supply to begin to moderate in the fourth quarter of 2016, and we expect new deliveries of apartments in 2017 will fall about 20% to 30% in San Francisco and 30% to 40% in San Jose. Second topic, investment markets. Our 2016 guidance called for $400 million to $600 million in acquisitions, and $200 million to $300 million in dispositions. Through the second quarter, we've acquired around $150 million and disposed of about $110 million, including our pro rata share of co-investments. We've also added approximately $67 million to the outstanding balance of our preferred equity investments. We are working on several acquisition deals that we expect to be largely funded through dispositions. With this activity, we should be in the range of our guidance assumptions for acquisitions, and at the high end of the range for dispositions. We also have about $50 million in potential preferred equity transactions that are being underwritten. During the quarter, the stock traded at or marginally below net asset value, making accretive acquisitions and dispositions challenging to execute. We continue to wait for market conditions that allow accretive transactions, strongly preferring that to acquisitions or dispositions that accomplish little with respect to growth in NAV and core FFO per share. We will also continue to selectively call the portfolio, re-investing in lower-risk or higher-growth opportunities. Cap rates have been stable for the last quarter, with A-quality property and locations trading around a 4% to 4.25% cap rate using the Essex methodology. From time to time, more aggressive buyers will pay sub for cap rates. B-quality property and locations typically have cap rates 25 to 50 basis points higher than A-quality property. While rental growth rates are moderating, so is the cost of debt, such that the percentage of positive leverage on real estate deals is approaching record highs. We continue to see fewer development-starts in northern California, largely attributable to increased cost of construction, and discipline shown by lenders. We expect a small increase in apartment supply in Seattle and southern California in 2017. Market clearing cap rates for development deals typically generate a 4.5% to 4.75% un-trended cap rate, which is below our yield threshold. We continue to look for development opportunities that meet our underwriting criteria, and we are not likely to lower targets in the near term. And then finally, third topic, rent control. Generally there appears to be less urgency related to rent control now that rents have moderated in northern California. However, the process started by tenant rights groups in several northern California cities has led to several ballot initiatives. So far, qualified initiatives exist for the ballot in northern California cities of Mountain View, Richmond, San Mateo, and Alameda. Burlingame remains in the qualification process. Generally, these proposals provide for CPI-based rent increases on renewals only, subject to a cap. These are in addition to changes to the rent control ordinance in San Jose that I discussed on last quarter's call. It is important to note that all local rent control ordinances must comply with state law, which mandates among other things, that vacant apartments are prohibited from rent control. We believe that these various ordinances will have limited impact on Essex, primarily because the vast majority of our properties are newer than the rent control cut-off dates, and the various stabilization ordinances or state law, whichever applies. Finally, in our experience, rent control ordinances generally shift the pricing burden from the renewing renter to the new resident. In other words, while rent control reduces renewal rent increases, it also reduces turnover in all rent control property, which means that fewer apartments are available to rent for people looking for a new apartment, which likely pushes rents upward on the vacant and available apartment inventory. Thus, while renewals will often occur at below-market rates, this impact is partially mitigated by higher rents on new leases, reflecting the unintended secondary effect of rent control. That concludes my comments. Thank you again for joining the call. I'll now turn the call over to John Burkart.
John Burkart: Thank you, Mike. We had another good quarter, delivering total same-store revenue growth of 6.9%, and NOI growth of 8.2% relative to comparable quarter. As northern California has slowed down due to the factors that Mike mentioned, Seattle has strengthened and Southern California continues to perform. Now I will share some highlights for each region. The strong demand in Seattle fueled by the surge in employment through the first half of this year, which is above our expectations, enabled the market to absorb the new supply and continue to grow revenues. Our Seattle portfolio grew revenue 7.5% in the second quarter of 2016 relative to the comparable quarter. The sub-markets performed similar to last year, with the CBD growing revenue about 5.4%, and the east side, north, and south sub-markets, where over 80% of our portfolio is located, growing revenues between 7.7% and 9% for the second quarter of 2016 relative to the comparable quarter. In the Bay Area, the market has strengthened from the first quarter. July rents are up about 5% from the beginning of the year; however, due to the tough comps from last year, net effective rents are up only about 0.5% from last year's rents at this time. San Francisco and San Jose continued to absorb the supply at a rate of approximately 19 units per month per lease-up, and 30 units per month per lease-up, respectively, per Axial. Concessions have decreased from six to eight weeks, down to four to six weeks. The East Bay has been stronger, however. It has the toughest comps for the peak leasing season. Our two lease-ups in the East Bay, The Galloway and Agora, are leasing up as planned with The Galloway absorbing about 30 units per month, and the 49-unit Agora leasing about 15 units per month. The Bay Area economy continues to be a vibrant economy, benefiting from the ongoing expansion of technology into traditional industries. Numerous corporations have created innovation outposts in the Bay Area, such as General Electric, Walmart, BMW, Nissan, and General Motors. According to a recent study, there were over 50 corporate innovation outposts located in the Bay Area. The next largest concentration is in London with only 10. Office absorption was positive in all three Bay Area MSAs from 321,000 square feet in Oakland MSA to 790,000 square feet in the San Jose MSA. There were numerous leases signed in the Bay Area recently by companies such as FitBit, Lift, Stripes, LifeLock, Tesla, Uber, and Twitch, a video gaming division of Amazon, all combined leasing over 1 million square feet of space in the quarter. Currently there's approximately 10.8 million square feet of office space under construction in the Bay Area, of which 46% is pre-leased. LeEco, the Chinese electronics maker, just purchased nearly 50 acres of land that belonged to Yahoo near Levi stadium in Santa Clara, California. The acquisition adds 3 million square feet of space for LeEco's operations, which spans smart phones, bicycles, virtual reality headsets, and eventually electric cars, and is enough for about 12,000 workers. Finally, the city of Santa Clara recently approved related $6.5 billion major project just north of Levi stadium, the largest private development in Silicon Valley history. The project includes 5.7 million square feet of office space, 1.1 million square feet of retail space, 1,360 apartment homes, 700 hotel rooms, and 450,000 square feet of restaurant and entertainment space. Construction is expected to start in late 2017. The southern California region continues to be a solid performer overall. In the L.A. MSA, the CBD grew revenues 3.8% for the second quarter of 2016 compared to the prior year's quarter, as it continues to absorb new supply. The Woodland Hills and Tri-City sub-markets were the strongest in the L.A. MSA, growing revenues over 7% for the second quarter of 2016 relative to the comparable quarter. Silicon beach continues to see new investment from technology companies. Google is out-growing its 100,000 square-feet space in Venice, and is expanding to the 319,000 square-foot hanger where Howard Hughes assembled the wooden sea plane called The Spruce Goose. Google purchased the adjacent 12-acres of empty land next to the hanger a couple of years ago. In the Orange County and North Orange sub-markets -- in Orange County, the North Orange sub-market out-performed South Orange sub-market in the second quarter of 2016 with revenues growing 5.9% and 3.1%, respectively, over the prior year's quarter. Revenue increased 7.4% in San Diego's MSA, with the northern sub-markets out-performing the CBD and southern sub-markets relative to the comparable quarter. Recently, Google signed a 60,000 square-foot office lease in northern San Diego's tech-heavy Sorrento Mesa area, expanding its southern California footprint into San Diego for the first time. Currently our portfolio is at 96.2%, and our availability 30 days out is at 5.2%. Our renewals are being sent out in the 5% to 6% range in both northern and southern California, and at a 6% to 8% range in the Pacific Northwest for the third quarter. We are positioned well for the second half of this year, and we look forward to 2017, when we expect the supply to decrease in northern California. Thank you. And I will now turn the call over to Angela Kleiman.
Angela Kleiman: Thanks, John. Today I will comment on our second quarter results, the state of our balance sheet, and the updated full year guidance. Once again, our core FFO per share for the quarter exceeded the mid-point of guidance by $0.08, although $0.04 of the out-performance primarily related to property tax refunds and timing of expenses. The remaining $0.04 was driven by stronger than anticipated operations, capital, and investment decisions, which benefited the bottom line. In addition, our total FFO for the quarter was actually higher than core FFO per share by $0.07. This was primarily attributed to successful insurance recoveries for lost rents, due to the MB360 fire, which occurred prior to the BRE merger. As for our balance sheet, during the quarter we issued $450 million of 10-year unsecured bonds at a coupon of 3-3/8%, and retired our Series-H preferred stock. Our only remaining debt maturity this year is a $200 million term loan due in November, which we plan to refinance with a new five-year unsecured term loan, and we expect to obtain a more attractive pricing than the current 2.4%. So far this year, we have funded our development equity needs with disposition proceeds, and have not issued any common equity. Currently, our debt-to-EBITDA ratio is inside of our target range, and we are comfortable with this ratio resting in the high fives, as this range has proven to have successfully weathered the great recession. With our $1 billion revolver undrawn, a strong balance sheet, and numerous sources of equity and debt capital, we continue to be well positioned for future growth. Turning to our revised guidance for the full year, as Mike commented, even though northern California is facing headwinds this year, we still expect the region to perform well relative to the nation, and produced over 7% same property revenue growth. However, the lumpiness of supply deliveries in northern California, coupled with lower job growth in the region, will impact our full year same-store rent growth. Therefore, we have tightened our range and lowered the mid-point. Our expense growth assumptions remain unchanged at 3.8%. The resulting expected NOI growth is now 8.1% at the mid-point, which remains within the guidance range provided at the beginning of 2016. From an FFO perspective, the projected reduction to same property growth rate is approximately $0.05 per share to the full year core FFO; but due to favorable year-to-date results which have exceeded our original forecast and accretive capital markets and investment transactions completed so far, we are able to raise our full year core FFO mid-point by $0.06 per share to $10.98. For 2016, we are projecting core FFO growth of 12%, which represents our sixth consecutive year of double-digit growth. Thank you. And I will now turn the call back to the operator for questions.
Operator: Thank you. Ladies and gentlemen, we’ll now be conducting a question-and-answer session [Operator Instructions]. Our first question comes from the line of Jordan Sadler with KeyBanc. Please go ahead with your question.
Austin Wurschmidt: It's Austin Wurschmidt here with Jordan. I was just curious if your guidance in northern California assumes steady-state rent growth, or what you've achieved in 2Q or July in the back half of the year? Would you expect there to be a re-acceleration, since we've surpassed peak supply now, and it sounds like concessions are abating a bit?
John Burkart: Yes, this is John Burkart. We're not necessarily expecting acceleration up in rents, but we are expecting to have a better fourth quarter than last year. So our guidance assumes that the rents don't fall off as much as they do normally seasonally, that we maintain rents a little bit better than we have in the past, that we take advantage of increasing occupancy a little bit, and that we continue to achieve what we've been achieving on our renewals around 5% to 6%.
Austin Wurschmidt: And then just switching over to Seattle, you mentioned increased supply in Seattle in 2017. Is there any concern that Seattle could see some similar headwinds that's been seen in northern California next year?
Michael Schall: Hi, Austin, it's Mike. It's interesting, when we talk about how unusual this has played out this year, it almost means that we have to determine whether it's a one-time occurrence, or if this is part of trends going either direction, both in northern California and Seattle. And the answer to that is it's I think unknowable. And it becomes one of the things that we're very focused on trying to figure out. But I think the expectation would be, well, let's go back to where we started the year. We started the year with the expectation that Seattle would have continued good job growth. And because of the supply, there would be pressure on rents. I think we started the year with a rent growth expectation of around 4.9%. So what happened is we got the supply, but we dramatically exceeded the job growth, as noted in my comments. I suspect that some of those conditions will even out. Again, I've been here for 30 years, just had my 30th anniversary here at Essex, and I've never seen this divergence. An so I would say two things. One, we don't know. Two, we suspect that we will see a more normal balance, more consistent with 29 of the 30 years I've been here. And Number three, we're going to be studying it to try and determine what we think the longer-term trends might be. Does that make sense? So the answer is we don't know.
Austin Wurschmidt: Yes. No, that's helpful. Not to jump around here, but last quarter you talked a little bit about a disconnect between the supply and the demand. Has that started to correct a bit here into the second quarter and early third quarter?
Michael Schall: I'm not sure exactly what we're talking about, but I think that we are seeing -- but we saw the concentration of supply. Are you talking northern California? Let me just try to be clear.
Austin Wurschmidt: Yes.
Michael Schall: Yes, Northern California, part of the issue was that 70% of the supply in San Jose and San Francisco hit in Q2 and Q3. We've had some slow down in jobs. Again, I suspect that will work it-self out. The supply picture is declining, fortunately, next year. So I think we start seeing a little bit better pricing environment beginning in the fourth quarter of this year.
Operator: Next question comes from the line of Gaurav Mehta with Cantor Fitzgerald. Please proceed with your questions.
Gaurav Mehta: So couple of questions on investments, I think you talked about cap rates for As and Bs. But I was wondering if you would comment on any changes that you have seen in cap rates in northern California, given a slow-down there?
Michael Schall: Yes, this is Mike. We have not seen changes in cap rates, and I think you've got, as I tried to comment in my prepared remarks, you have two forces. I think on the one hand, you have lower growth rates. Although, to put that in perspective, the growth rates that we saw over the last four or five years are extraordinary in northern California. So I don't think that most of the private investors that were buying property in northern California had the expectation of the rent growth they got over the last several years. So, I think the growth that we got over the last several years was an anomaly, not a normal thing. And I don't think again that most buyers have that expectation. Having said that, as it relates to the longer-term picture, the private markets tend to be long-term oriented in terms of making these investments. And I think they still see northern California as one of the strongest long-term CAGRs of rent growth generators that there is in the United States. And so they know that, and they play a long-term game. And so I don't think that the attractiveness in the investment markets of property in northern California has changed very much. And then finally, the third factor is you have debt costs that are lower now. And so the amount of positive leverage you have on apartment properties is pretty extraordinary. And we're 26% levered. A lot of investors out there are 60% or 70% levered, and obviously that makes a huge difference. So, I don't see anything in the near term where you can buy a property that yields somewhere around 4.5%, finance it with a lot of positive leverage with some growth over time. I think in this environment that looks like a winner, more broadly. So I wouldn't expect cap rates or valuations to change very significantly at all.
Gaurav Mehta: And as a follow-up on the preferred equity transaction side, are you seeing more products? And what's your appetite to grow that platform?
Michael Schall: Yes, we are seeing more, because of some of the conditions that we talked about earlier. The increase in construction cost and lenders cutting back loan-to-cost ratios on construction loans have both have the effect of property owners or developers need more equity. And this is a targeted program on property that we would like -- that we could own, that's consistent with our portfolio. But it's a unique opportunity in the marketplace. In terms of our appetite for it, I would say that it probably is in the $300 million to $400 million range total outstanding, probably not more than that. Again, it's limited because we're not going to deviate outside of our markets, and we're going to continue to look at property that we could own if things don't end well.
Operator: Our next questions comes from the line of Ryan Meliker with Canaccord Genuity. Please go ahead with your questions.
Ryan Meliker: I wanted to talk about a little bit of a big-picture topic. And it's one that we probably haven't talked about too much over the past year or so that's Airbnb. I'm wondering if you guys have given any thought to the new regulation in San Francisco and Anaheim. It sounds like things are in the works in Seattle, and whether that's going to have any impact on overall market fundamentals, if there's a lot of long-term -- a lot of short-term rentals now entering the long-term rental pool. Do you think that's been a tail wind for you guys over the past couple of years? Are you -- do you have any expectation for it to be a head wind as some of these regulations take shape over the next 12 to 18 months?
Michael Schall: Yes, this is Mike. It remains to be seen. Obviously, any product that enters the market for rental is incrementally, puts more pressure on the market, and provides more availability or more supply, so that is a given. It's hard to extract or to focus on that component and determine what impact it is having, other than that general statement that I just made. We continue to study Airbnb, and we have some experience in the area as a pilot program type of thing. And I think that there is so much noise and so many issues as it relates to an apartment community, where if you have people showing up with their roller boards day in and day out, it's generally not a good thing. So we continue to evaluate Airbnb. We realize that again, as you point out, long term more rental has a pricing impact ultimately on the marketplace, but I think it's fairly minimal. And it's going to be something that we're going to continue to evaluate. Over the next several years we'll make some decisions about to what extent we want to participate in that area.
Ryan Meliker: I guess I'm coming at it from the perspective of there's some reports that there are over 12% of Seattle stock has been pulled out of long-term rentals in favor of using Airbnb for short-term rentals. People are running businesses renting out apartments instead of long-term competing with you, short-term competing with hotels. In San Francisco, we've heard something like 9,500 apartments that don't have registrations. And with all the regulation, have you guys looked into trying to figure out what the number, the amount of supply that really would be competitive with you guys is out there that's working in the short-term rentals, or is that something you haven't focused on yet?
Michael Schall: It falls within the area of in a supply/demand analysis, there's always going to be factors you have trouble quantifying, and you're going to make some broader assumptions surrounding. As you point out, I agree with you on Airbnb to the extent you have more apartment units that are pulled out for a hoteling type of use. Obviously that helps us. The flip in San Francisco, for example, where you're going to start regulating them and they're going to flip back the other way, it's going to hurt you. We have not tried to do that. But again, I think there are other factors that are similar to that to the extent people are doubling up, to the extent that employers are allowing people to work from home X days a week so that they can commute longer distances, and/or connect by telecommunication devices, et cetera, and not come into the office at all. So there is a whole cadre of things that we try to capture in our relationship between job growth and demand, or households. And so to the extent that Airbnb or any other factors might enter into the equation, we would alter our -- it's generally two to one relationship, so two jobs equal one household. And that one household covers both the for-sale and the rental stock. We would start changing that ratio if we thought that any one of these factors became more significant.
Ryan Meliker: But it sounds like that's not something that you guys have looked into making any changes to yet?
Michael Schall: No, that's not the right answer. In fact, right now we're, as I mentioned on the last call that, based on the job growth in various sub-markets, we could not explain why X amount of job growth, well, let's take L.A. for example. 176,000 jobs, given what I just said, should give us somewhere around 85,000 households, and they're producing 32,000 units of total supply, so there should not be an issue there. So, having said that, that's at a two to one ratio, our tendency is actually starting to push the two to one up to a higher ratio, and actually doing that in connection with affordability, as well, because people make different decisions based on relative affordability of apartments within a marketplace. It's all part of a discussion, but it's a larger discussion than Airbnb, is my point.
Operator: Our next questions come from Nick Joseph with Citigroup. Please proceed with your question.
Nick Joseph: I guess, sticking with affordability, can you talk about how rent to income metrics or any other ways that you measure affordability have changed over the last year?
Michael Schall: Yes, Nick. They are increasing, and have increased. This is Mike Schall again. And again, going back to northern California last year, for example, where we had an incredible surge in rents, it pushed the affordability in San Francisco to about where we -- it's well over the long-term high. We have that at almost 29%, and the long-term average is 26.5%, and the high is 33.1%. So we're starting to push beyond that range that people can afford. And our view is that affordability basically is constrained. It doesn't mean that if it's super cheap that's good. Having a very low ratio of community, you just have too much housing in the marketplace, and that's obviously not a good thing, either. But there are a couple markets in San Francisco and the Bay Area that are pushing that ratio to a level that we haven't seen in a couple decades, so that is an area of concern. Having said that, with rents moderating this year and personal incomes increasing it helps take pressure off of that ratio, so, again, my view is that last year we got -- let's say two years of rent growth in northern California, and there's a little bit of a breather. Part of that is caused by affordability, and part of that is pushing renters into the other markets, the East Bay for example, which is where we're getting the best rent growth this year. So it's part of the equation that we consider, again when we start pushing up into the mid 20s. When people are paying 25%, let's say, or higher of the median income in rent, or in their rent, then it starts becoming an issue.
Nick Joseph: When was that 33.1%, what year was that?
Michael Schall: That was in -- I don't have the year, it was it 2000? It was the dot com. But again, it's interesting, because I've heard the comment made that Southern California -- actually there's an Axio chart that has this. But Southern California CAGRs of rent growth is the same as Northern California over the last 15 years. But it misses the fact that rents in Northern California went up 40% in two years to establish this 33% ratio that I just referenced. And the 15 year period misses that. It picks up the decline of rents over that period, but before that in two years rents went up about 40% in northern California. So, again, these things have to all be considered. These are just facts and they have to be explained in context in order to be meaningful.
Nick Joseph: And then quickly on the transaction market, have you seen any changes in the buyer pool, either in terms of the number of bidders, or the composition of those bidders?
Michael Schall: We have. I mean, in general there are a few bidders. But there are certainly plenty of bids out there and it's still an active marketplace. Again, I would characterize it as going from a marketplace where you have many bidders, several rounds of best and finals et cetera, to a market place that has fewer bidders, still pretty aggressive, still looking for product. Still see a number of the institutions involved in transactions. Some have talked about foreign buyers and investors being active in the marketplace. I think the REITs have generally taken a step back here.
Operator: Our next question comes from the line of John Kim with BMO. Please proceed with your question.
John Kim: I just wanted to follow up on your commentary on Seattle, Mike. This period you took up your market rent forecast by 240 basis points. But it sounds like you're a little bit cautious on the potential impact of supply, in an answer to a prior question. Is this because this is very sensitive to employment growth? And can you also talk about the rent income ratio in Seattle versus San Francisco?
Michael Schall: Sure. And maybe John or someone can help out with this question, in general so going back to the beginning of the year we had Seattle as our weakest market and it wasn't because we thought that there was some implosion intact or even a problem intact, it was just simply -- if just look at the ratio of supply and demand, it has looked like it was more exposed then either Northern California or Southern California, so that's what caused that. Again we do that base on experience history of judgment and sometimes we're wrong, so certainly that's the case in Seattle at this point time. As to going forward, we're going to continue a 3.5% of growth in Seattle which will take care of whatever supply the market can put in. I would guess that it's going to continue to be better than we think, but I don’t know we can sustain 3.5. I still rank our markets as in terms of the variability as Northern and Southern California obviously those big geographies, but Northern and southern California has been more desirable than Seattle because we've seen supply really get out of whack in Seattle in prior cycles. So that's how we would judge California has all these various other elements where they try to convert from the suburban type housing profile to more of an urban high rise residential around transit that's going to be a long-term difficult thing to do and I think it will have the overall impact of muting supply deliveries. So I guess that's why we give California the urban core coastal California markets a little bit of a positive relative to Seattle. As it relates to rent to median income Seattle's current ratio is around 21%. The long-term average is around 18%, so this is a good example of the long-term average not be all that meaningful, you might say yes there is plenty of room for rents to grow there because it's only 18%. The problem is its 18% because there is too much affordable housing in the marketplace. So the lower that ratios get the less pricing power you generally have in the marketplace. So that's why I say that rent to income acts mainly as the constraint modest sort of a driving force. So there is plenty of room for price I know Seattle has very high median household income levels in the $80,000 to $90,000 range and the rents are pretty attractively priced. So I don’t see that is the constraint.
John Kim: So sticking to Seattle, it's not part of your development pipeline, so is your preferred method to increase exposure through the preferred equity investment and through selective acquisition?
Mike Schall: Yes, I think we would look to trade assets in Seattle and actually we're looking at the same strategy up and down the coast, not necessarily for example trading out of Northern California and in the Southern California which we have done in the past, we don't think we are the point at that point in time. Again the thing that makes us more cautious in the Seattle in the long-term its ability to product a lot of housing, so it's going to probably remain our third choice looking at things very big picture relative to the three markets, Northern and Southern California and Seattle.
Operator: Our next question comes from the line of Tom Lesnick with Capital One. Please proceed with your question.
Tom Lesnick: I guess, first, it looks like a lot the supply is concentrated in San Francisco proper and San Jose. What are the necessary conditions for that oversupply issue to being the spread out size of San Jose and the Bay Area? And what is the looks like the scenario for further slowing in quality job?
Mike Schall: This is Mike again and John Eudy who heads development and is Chief Investment Officer along with Craig Zimmerman can maybe comment this as well. I think it's just rent and cost to bill, so you need really high rents in order to pencil a development deal and where do you find those really high rents, you find them in San Francisco proper and on the peninsula and in San Jose and to some extent in various parts of LA which again it has more supply than that has had over the last several years. So that's what moderate construction outside of the core areas, the rents are quite as high, construction costs are pretty around similar. And I guess the issue that this bring up is how deep is the A tranche of the rental market because now that it has several years of delivering aids into that top tier. How deep is that, how long can you continue to get those, achieve those rents before you really deepen down into the B part of the rental pool and you're making some of that top lines of Bs they're pushing them into the A product which is I think part of the problem here. So again we're watching that, I think there is a certain level that which went California need is more affordable housing and the current solutions to this situation are to produce more very high-end luxury housing. And so there is an obviously disconnect that needs to play out. Do you have any comments for that one John Eudy?
John Eudy: The only other add would be the exactions that cities are getting now on the entire side and the burden of the cost and with construction lenders going back as Mike mentioned earlier. You all add that up and that speaks to why we're seeing you need supplies next year in the fall and compare to what we're seeing this year in the fire. And there is a lot fresher to try to put deals together but at the end of day the 4.5 cap development transaction allow them are going to come to fruition that maybe being entered about but have to be executed on.
Tom Lesnick: Appreciate that and then my second question having to do with income actually you guys are clearly doing demand forecast, but for this incremental job what is the income mix of those jobs and still how is that shifted over to last few quarters and how does that affect you future outlook?
Mike Schall: Hi, it's mike. We don't have perfect information there. I think the comment we would make is that there is some indication with the quality jobs and Northern California has deteriorated, so another words we're able to rank in all the different industries and what they the average wages are within the industry and so there is more for example in Northern California more lease or hospitality jobs there have been typically technology jobs, but again in the short-term lots of things can happen, actually the flip is also true in Seattle but in the short-term lots of things can happen and if I learned anything in this business, it's don't take couple of bullet points or data points and start creating a trend on because you're going to also up and wrong. I realized that human beings are making decisions have a number of biases and then we try to work through biases as thoughtful as we can, but I would hate to take some very short-term information and then try to extrapolate what it means. And that's all we have at this point in time and I don't think that any of it is conclusive, but I say we're looking at it and trying to see if we can determine what those longer term implications of this diversion that I talk about my open remark. We conclude what you're talking about now, so we just don’t know at this time.
Operator: Our next question comes from the line of Alexander Goldfarb with Sandler O'Neill. Please proceed with your question.
Alexander Goldfarb: Just few questions here for you, first, just going back to Seattle historically Seattle, San Francisco sort of linked as far as health of tech, but it sounds like those trends may have disconnected a bit, so it's your view that the market is disconnected or there is just again to your earlier point about don't take a data point and make a trend or it is just there is a little bit of nuance here and therefore the markets are still late overtime to tech but right now there is just a little bit of decoupling?
Mike Schall: So again I get to celebrate my 30-year here and Mr. Eudy is here for 30 years too and he has been an amazing partner and Mr. Burkart for 20 years. We haven't submission this onetime in 30 years, so now we're going to pay attention to this one diversion and ignore the last 30 years. I mean that's essentially the dilemma that we're talking about. I mean tech is tech. Businesses are going to make decisions. People are going to make decisions based on the opportunity before them and live where they can afford to live in a good place, high quality life et cetera. And wherever that opportunity presents itself, they will find people smart. They are smart when it comes to make rental decisions. They're smart when it comes to make close decisions with most part. And so I wouldn't see any diversions at all. I think the market is fluid and things change. I think you could have some tech companies opening more office space based on where their people want to take that's the possibility. Having said that, as John said, there is millions square feet in commercial space deliver here and you have these tech giants which have enormous amount of cash and enormous financial capabilities that are building deal that are investing these office building. Every part of the Silicon Valley I think has been essentially remade in a number different ways. They work at another staff that hasn't come up on these calls before but there are at least 50 non-tech companies that have innovation standards here, actually John you have mentioned this in his remark. But non-tech companies within innovation centers here because technology is so integrated never thing we do. So Alex my belief is that this is an anomaly not a trend and… of different ratio was $100 applicable on this call for their our families the non-cash that have innovation centers there is not done this mentioned in this market companies with innovation centers for because technology is still integrated everything we do so alex for my we is that this is normally not trend and as a result of that things will go back to a more normal balance between the two markets.
Alexander Goldfarb: Okay and then going to Southern Cal where it's like LA you had a lot of permits I think for biggest metro for permit, you have given what we've seen of the over building of the high end San Francisco and New York where that's all that penciled, is your view that the supply coming online in LA again is all high end and do you think it's going to be an impact as those permits are putting to the ground or because either where it's located or just the size of the market that supply will be absorbed in an normal fashion.
John Eudy: This is John. Number one you ride in LA as far as the total number of permits, but it's a huge market, so we always look at it in sense of percentage and then that kind of changes its perspective, but where the supply is located in those pockets very competitive. There is no question about that. The downtown location and other playa Vista and so it's submarkets by submarket, but in the supply U.S. what is it even in the sense of AB pretty much anything get delivered these days A quality, so the competition is high if you're an A quality building across the street from a lease up it's very high and to the degree that you're B and submarket away is not so much. So as we said Woodland Hills performed well, CBD a little bit lesser, so does that answer your question?
Alexander Goldfarb: So John as if as this stuff comes online, are we going to see in 17 or we're going to hearing about hard stories about two months free all over LA impacting apartments or it's just not big enough to really impact the way we’re seeing and impact San Francisco and San Jose?
John Eudy: I don't expect that Alex. I think that was combination of little bit less job growth and the supply hitting in the fourth quarter and then Nor Cal and Seattle tend to be more seasonal and So Cal is less seasonal so Southern California I don't expect to see horror stories in the fourth quarter.
Operator: Our next question comes from the line of Karin Ford with MUFG. Please proceed with your question.
Karin Ford: There was an article on the Wall Street Journal talking about Facebook building 1500 million is for the general public on its land and number of park, I know it's coming along with 6500 new jobs from them, but tech companies obviously is a low cost capital incentives to accept to lower return, do you see this as potential source of new supply in the Bay Area?
John Eudy: Well obviously it's absolutely new supply but in a sense you mean competition with technology companies building multifamily, I don't expect that in the article that I read. I think what was -- what they're trying to achieve was get approvals for their development, there has been a lot of stress of course in rents so they were trying to build a more balanced development where they had some housing as well as good jobs related construction for the office base. So I don't think they're going to be in the business of building multifamily.
Karin Ford: Are you hearing of any other tech companies looking to do something similar?
John Eudy: I haven't, no.
Karin Ford: My second question is just for Mike. Just going back to the cap rate question, in any your experience house of the year and have prolong would the growth slowdown need to be before we should expect to see a change in cap rates?
Mike Schall: That’s a good question and I am not sure I have an easy answer. Cap rates tend to be pretty sticky that's the first thing that happens is buyers and sellers do not agree with the prices so sellers remember the last 10 transactions and buyer think the world is changed. And they so demand something different and so that can go on for some period of time and you would see that in transaction volumes of deals closed. Normally the thing that motivate transactions are financial distress and those type of things which in a world of positive leverage we don’t really see that happen and I am really great economic as well. So I would say that you would have to see maybe I'd say a year before you really saw a real directional change in cap rates. This is again I think you're going to end up with the dearth of transactions in the mean time. Maybe the dearth of transactions will be the indicator that maybe something is changing, but you won't actually see a change for some period of time.
Operator: Our next question comes from the line of Wes Golladay with RBC. Please proceed with your question.
Wes Golladay: Looking the concession comment you said they were down just curious if it starts to spread though other submarkets outside the core?
John Eudy: No, the concession really started, the standard of course was developed at least that's typically commonalty it's four weeks what happen is, concession moved up, people had a little bit aggressive when the demand was in the slow season and so that moves up to 6 to 8 weeks and it's moved down, but other than assets that are head on competition to brand new assets next to a lease up. There is a not a lot of concessions in the market and we do not see it spreading outside of those very competitive zone we believe lease-ups are.
Wes Golladay: Okay and do you have a loss to lease for the portfolio and maybe Northern California?
John Eudy: Sure loss to lease for the portfolio overall is about 5% and for the Northern California right now it's about 5.2%.
Operator: Our next question comes from Rich Anderson with Mizuho Securities. Please go ahead with your question.
Rich Anderson: Thanks, still good morning out there, I guess. Angela, maybe you did this and I missed it, but can you break out that $0.11 that offsets the down-draft that allowed you to raise guidance this quarter? Are there factors outside of same store?
Angela Kleiman: Sure, happy too. So we beat by $0.08 last quarter and by $0.08 this quarter so that gets you to the $0.16 right. And we raised by $0.06 for the year, so the remaining $0.10 is really the breakout so $0.05 of that $0.10 is timing related, so these are G&A items and other items that will spend in the second half of the year and $0.05 were really more of the -- by the way I am only talking same-store just that we're clear and the other $0.05 were the really more of the onetime spend. So it's a $0.05 with the lower same-store growth so that's the other $0.05.
Rich Anderson: Yes, okay. Maybe I'll talk to you off line. Let's imagine for a moment like you said that we go to a more normalized balance between Seattle and San Francisco in the future. I guess it's a question for Mike or whomever. How does that not mean there will be a meaningful deceleration next year if that does in fact happen, since Seattle has basically come to the rescue so far this year?
Mike Schall: Rich, this is Mike. I don't know it's interesting. If I would have said to you that we got 5% rent growth in Northern California this year and 12 last year that's 17. Let's say happen 8, 8.5, I think we all are going to be really happy with that because we can't sustain the amount of growth that we've had. Again I think that we missed how incredibly great northern California has done and we've assumed to cut maybe partially because it's done so great that has to very poorly in the future. I don't follow that logic. I don't think that's right. I think that we can end up with a more normal growth rate in Northern California and this business works just fine. So I'd be the first to tell you that getting 12% rent growth in the year we did in 2015, it's great while it's happening but it has a secondary effect and we're seeing part of that secondary effect this year because again it stretches affordability, it has implications beyond that one year. So I don't think that the fact that you see in flow of slowdown this year again relative to what happen last year as extraordinary that we have last year as being somehow indicative of what's going to happen next year.
Rich Anderson: All right, so you're saying that the closing of that gap is a decline in Seattle and a similar level of improvement in the Bay Area. Is that what you're saying?
Mike Schall: Well let's say that the Bay Area goes to be more normal market as opposed to an extraordinary market that has been for the last several years. Again these businesses -- our business was not founded upon 6% annual rent growth for long-long periods of time because income levels have some relationship to rent levels in order for people to afford it. So there are constraints within this industry or within the housing market that will constrain you ultimately. Again, it doesn't mean that we're going to go from being a great market to a lousy market and I think that maybe investors are focused on the great recession which I think was an extraordinary period of time or the internet boom/bust period, where often neglect the fact that rents were not 40% in two years and with all the way back down in two and three years. But nonetheless those things I think are dominate in people's memories but I think that the normal cycles would not be nearly that experience so again I think Northern California goes back to being more normal market. What is that mean? It means let's say 3% to 4% revenue growth let's we're going to add some value in renovation and maybe can add some value in transaction and the business runs well with that.
Rich Anderson: And then how are you able to -- or maybe you're not -- but you had this lumpiness effect to your supply in the Bay Area this year. Is there a way to judge that for next year and have a relative level of confidence that won't be the case again, or is that a wild card as well?
John Eudy: In the sense what buildings are out there it's pretty easy to judge or people drive pretty easy to judge, people drive all the sites that they know what's out there. The thing that moves around a little bit relates to construction timing. What we expect to happen to happen because it necessarily happen, things get tend to be slowdown a little bit and they get pushed into a future period, so to the extent that things get slow down they get push into a future period it's sort of benefited the current are, right. And that's a little bit what happen last year, so it's not perfect but I don’t want to give the impression that we can't know the building, we know the building very well. We literally drive the buildings and detail spreadsheet outlined in each building, what's going on and shift as part see those and when they start to lease up and get occupy that moves around a little bit. That frankly always moves out never really surprises us in the sense of being sooner.
Rich Anderson: Right, so no one is asking you for a perfect crystal ball, but based on what you're seeing right now, you think that lumpiness effect that happened this year -- who knows for sure, but feels like it may be a little bit more of a typical pattern next year?
John Eudy: Currently yes. I think it's really difficult.
Mike Schall: Actually it's interesting, in our economics department we have it broken down by quarter, but they said please don't give that out the phone call because it's not only in timing of construction, but phasing in, absorption rates and all those things get into the equations as well. So it's really challenging to get this exactly right.
Rich Anderson: Come on, 30 years, you can't figure this out by now?
Mike Schall: Way to rub it in.
Operator: Thank you. Our next question comes from the line of Conor Wagner with Green Street Advisors. Please go ahead with your question.
Conor Wagner: Howdy. Angela, you mentioned your revised guidance from northern California a little over 7%. Could you give us revised full-year guidance for your three regions, please?
Angela Kleiman: Sure, so Northern California is somewhere around 7 little over 7, but I'll just talk about the midpoint, so Southern California up slightly of the midpoint around 5.9 and then Seattle is up from the original midpoint by about higher 20 basis points, so closer to somewhere else 7.7 range. But I'll get you to the math.
Conor Wagner: Yes. Okay, great, that makes sense. Then for northern California, the slow-down you guys see in the second half moving more towards low 6% in the second half. It sounds like based on your view of supply that you wouldn't expect a large drop-off in 2017 in northern California. If you're trending towards low 6% revenue growth for the second half of the year, you don't expect a similar level of decline throughout 2017 that you saw this year, is that a fair assessment?
Angela Kleiman: Well, so you're right about Northern California I mean the second half to get the midpoint is around -- we've to list exist kind of half, but it's difficult to just interpolate that to 2017, so we do know the supply is going to be lower. But we still have to look at what our job growth expectations are and we're still evaluating that.
Conor Wagner: Okay, and then into 2017, maybe Mike or John on that, what's your forecast for Oakland? Do you see that if rent growth in San Francisco is taking it the hardest this year, do you expect there to be a greater impact on East Bay rents or rents that are pricing off of San Francisco?
Mike Schall: Conor, it's Mike. No, we still see muted deliveries in Oakland and again we don't want to go into the 2017 guidance too far. Supply numbers are fine. Barb wears pointy shoes on day like today and she will kick us if we start giving out too much detail.
Unidentified Analyst: But we're on the call. We are all here.
Mike Schall: Put her on the call.
Unidentified Analyst: No, we're all here. This is Oakland, everyone is hearing it.
Mike Schall: Conor, if you want to ask your question it's fine.
John Eudy: No, there is actually about the same supply which is very muted 1600 units roughly in 2017.
Conor Wagner: Just with San Francisco slowing down, I'm thinking more of the -- for people who are looking -- going to the East Bay for a discount, does the slow-down in San Francisco in this year, does that then start to show up more in Oakland next year?
Mike Schall: It's all relative obviously and the one issue we have here throughout California is lack of transit which I think you know a little bit about and traffic-snarled traffic. People in general don't want to commute much right against the borrow line and that's why Mr. Eudy has a couple development deals that are actually near public transit to do it. But basically I think that there will be maybe some because of relationship I think what's happening is again you're putting more in the A category and you're pulling some B, the top echelon of the Bs into the As because with concessions at a net effect that is too closed to with some of the Bs are. So I think the movement probably is more the other way, you're pulling people out of the Oakland MSA and into the City because the net effective aren't that different as I think was happening, but if there is not enough supply, the answer of your question, not enough supply in the East Bay to really make a difference.
Conor Wagner: Okay, great, thank you. Then last one, what was the decision to delay the phase 3 and 4 on the development in San Mateo?
John Eudy: This is John Eudy. It's not so much of delay. We should have broken it out into two phase building 1, 2 and 3 and 4 originally to be honest with you because they're not going to be all delivered at exactly the same time.
Conor Wagner: Okay, but yes, just the initial occupancy got pushed back, as well, but that's not related to the break-up?
Mike Schall: Well the site work that we did on the site improvements and its cushy soil for lack of better word we had to firm up, took a quarter longer than we had anticipated and it brought things out and that's a majority of reason for the slow up on the initial occupancy.
John Eudy: Then we talk about construction cost increases. We're not meaning to that obviously because the cost we're also increased and we chose to just do the front half, it also front half of the building as well. It's a verity of things but as John said, typically we have multiphase projects we do break them out right up front and this case we want them all together.
Mike Schall: And this cases four separate legal parcel buildings sounding park though there individual buildings few well.
Operator: Our next question comes from the line of Richard Hill with Morgan Stanley. Please go ahead with your question.
Richard Hill: Hi, good afternoon, everyone. Just a quick question. Obviously a tremendous amount of focus on San Francisco, I think you touched upon this a little bit earlier, but I'd like to get a little bit more color and clarity on what you're seeing in San Francisco between Class A and Class B. It's really all the weakness that you're seeing in the Class A space, and are you seeing more strength in the Class B? How's that working out? Any color you could give would be great.
John Eudy: Sure, this is John. There's no doubt that the Class A is highly competitive because of the new developments that are out there. As far as Essex's portfolio and what we breakout, we don’t have very many assets in that area, so we have so we have Fox Plaza and Park West, and both of those are older assets. So there's renovations going on at those assets and so that impact their performance. They are impacted a little bit but not in all to the same level as the A product that’s out there, that’s going head to head with the other product that's coming on. Most of the B product is impacted to some extent but not at it all to the same degree.
Operator: Our next question comes from the line of Tayo Okusanya with Jefferies. Please go ahead with your questions.
Tayo Okusanya: My questions have been answered, but a quick one I had, just in regards to July trends, and especially in areas where there's still concern about new supply. Could you just talk a little bit about what you're seeing, whether it feels like there's some type of stabilization, or whether there's a lot of competition and concessions going on?
Mike Schall: July is rolling through just like June. June was an up-tick from May, the markets not as described it's been on fire but when you say are there more, its sounds like that you are looking for a tick down and more concessions going on, we are not seeing that. Usually July, though, is the peak leasing season. So you won't truly expect to see that item.
Tayo Okusanya: Got it okay. Thank you.
Operator: And we will take our next question from the line of Dennis McGill with Zelman and Associates. Please go ahead with your questions.
Dennis McGill: Hi, thank you for squeezing it in. Just a bigger picture one for you, Mike. When you talk -- the industry in general I think is looking at the lending environment and seeing tighter lending criteria, and assuming that's going to be a governor on supply. But at the same time, I think as you alluded to, cap rates haven't moved and valuations haven't moved. Has there been times in the past where those two things can disconnect, where lenders are pricing in more risk but investors are not?
Michael Schall: I guess -- Dennis, and welcome to the call, that would something -- I don’t think I have seen in 30 years as well. The lenders let's say, were not particular in the second half of the cycle somewhere. And the lenders at some point tend to get more aggressive, John and I have seen loan to cost or actually loan to value than a construction loan gets to 75%, and now we are somewhere in the 55% to 60% loan to cost. I don’t think we have ever seen really this amount of discipline by the lenders ever. So I would just say, kind of an extraordinary time and that -- I think the banks have been -- it's probably a bad word, but somewhat neutered in terms of what they are able to do probably for fear of too big to fail and a variety of other political issues.
John Eudy: The regulatory hangover from the last drop-down left a lot of baggage where they're being watched extremely closely, and I think they are overacting a little a bit because they have to, and that’s what's coming in. It's not a conscious disconnected to discipline area disconnect from regulatory both looking out for sure, that’s what I think.
Mike Schall: Yes, it's great. And does that help Dennis?
Dennis McGill: Yes, it does. Appreciate it, thank you.
Operator: Okay, thank you. Well this concludes today's question-and-answer session. I would like to turn the floor back over to Michael Schall for closing.
Michael Schall: Okay, great thanks operator. So thank you once again very much, appreciate for your participation on the call, I have say that I am incredibly grateful to be able to lead such an amazing Company over the last several years and really over a 30 year has an quite an excellent. So that said, we wish you all a safe and relaxing end of your summer of 2016. And we always look forward to continuing the discussion next question. Thank you and good day.
Operator: This concludes today's teleconference you may disconnect your lines at this time. And thank you for your participation.